Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 00:06 Good day and welcome to the Verra Mobility Third Quarter 2021 Earnings Call. Today's conference is being recorded. At this time, I would like to turn the conference over to , Please go ahead, sir.
Unidentified Company Representative: 00:21 Thank you. Good afternoon, and welcome to Verra Mobility's third quarter twenty twenty one earnings Call. Today, we'll be discussing the results announced in our press release issued after the market closed. With me on the call are David Roberts, Verra Mobility's Chief Executive Officer; and Tricia Chiodo, our Chief Financial Officer. David will begin with prepared remarks followed by Tricia, and then we'll open the call up for Q&A. 00:45 During the call, we'll make statements related to our business that may be considered forward-looking, including statements concerning our plans to execute on our growth strategy, our ability to maintain existing and acquire new customers and other statements regarding our plans and prospects. 00:59 Forward-looking statements may often be identified with words such as we expect, we anticipate or upcoming. These statements reflect our view only as of today, November four, twenty twenty one and should not be considered our views as of any subsequent date. We undertake no obligation to update or revise any forward-looking statements. 01:18 Forward-looking statements are not promises or guarantees of future performance and are subject to a variety of risks and uncertainties that could cause the actual results to differ materially from our expectations. For a discussion of material risks and other important factors that could affect our actual results, please refer to those contained in our annual report on Form ten K/A and quarterly report on Form ten Q, which are available on the Investor Relations section of our website at ir.verramobility.com and on the SEC website at sec.gov. 01:51 Finally, during the call, we will refer to certain non-GAAP financial measures. A reconciliation of GAAP to non-GAAP measures is included in our press release issued after the close today, located again on our website at ir.verramobility.com and on the SEC's website at sec.gov. 2:09 With that, let me turn the call over to David.
David Roberts: 2:12 Thanks you, . And thank you, everyone, for joining us on the call today. Q3 was yet another strong quarter for Verra Mobility this year. We are proud of the great results our team delivered with their consistent execution and both of our business segments have continued to perform well. As Tricia will discuss in more detail later, our third quarter revenue grew sixty seven percent year over year to one hundred and sixty two million dollars and our adjusted EBITDA was eighty two million dollars, which is up fifty three percent year over year. 02:42 The primary drivers for these results include the ongoing expansion of the school zone speed program in New York City and a continued strong recovery in travel in the U.S., which has had a positive impact on our rental car tolling business. 02:55 We've also made excellent progress this quarter in collecting eighty seven point five million dollars in receivables from our automated enforcement contract with the New York City Department for transportation. 03:08 Q3 was a strong affirmation of our capital allocation strategy and our approach to deploying our cash on behalf of our shareholders. The Redflex Acquisition, which closed at the end of Q2 is fully aligned with our strategy to use M and A to both expand our portfolio and solidify our position in core markets. 03:25 As we highlighted previously, the Redflex Acquisition strengthens our leadership position in photo enforcement in North America, by providing an enhanced technology portfolio to our customers and creating cost synergies and new revenue opportunities for the business. In addition, we gained access to new markets such as Australia and Europe, which is consistent with our vision in becoming the leader in smart transportation globally. I’ll discuss more about the integration efforts later in my remarks. 03:50 We also completed one hundred million dollar stock repurchase this quarter, as we explained at the time, we believe that our stock is trading at a discount to its full potential and redeploying our excess capital by investing in the company enhances long term shareholder value. This again underscores our strong free cash flow capacity and our strategy of returning capital to shareholders at appropriate times. We confident in our ability to maintain momentum throughout twenty twenty one given the strength of our core business and our long term strategy. 04:18 Now, let's move on to discuss the highlights from our two business segments. In Q3, our government solutions business delivered sixty one percent revenue growth year over year to eighty five million dollars with an adjusted EBITDA of thirty one million dollars, which is up thirty seven percent year over year. These Q3 numbers include twenty two point eight million dollars of Redflex revenue. 04:41 Success in the third quarter was primarily driven by the ongoing expansion of the school zone speed program in New York City for which we installed two thirty six speed cameras in the quarter, bringing the total number through the year to three ninety four. We have made strong progress with the program and we are confident that we will complete the installations of the full seven twenty camera order early in first quarter of twenty twenty two. 05:05 In addition, we are proud of our continued customer service excellence by renewing or extending one hundred percent of all of our contracts that were up for renewal in the quarter. We also added new business by winning two new school zone speed camera customers in Virginia and for the City of Atlanta. 05:23 While the government solutions segment is still encountering some COVID-related impacts, particularly for school bus solutions, we are beginning to see increased opportunities and potential RFPs that bode well for twenty twenty two. 05:35 We also achieved key wins outside of the U.S. this quarter, which further our global strategy underpinning the acquisition of Redflex. These wins included deployable speed enforcement solutions for additional cities in Ontario, Canada where Redflex has a strong footprint. These cities include Oakfield, Pickering in London. 05:52 We continue to pursue regulatory approvals for our technology solutions around the globe and third quarter we obtained approval on the Netherlands, which expand our ability to solve more client used cases and our addressable market opportunities in Europe. 06:05 With regard to the Redflex integration, our government solutions teams have been focused on executing a successful integration efforts. They are working diligently and have made steady progress in achieving the anticipated eight million dollars to twelve million dollars in synergies that we targeted as a part of the investment thesis. Integration process is going well and we are adopting new ways of collaborating with our team members in Australia and Europe. 06:28 As you can imagine as with acquisition, there are some unforeseen challenges, but overall, we are on course and excited about the impact of the Redflex technology and its global footprint will continue to our future growth. 06:40 Like most businesses in the current environment, the Government Solutions segment is not immune to the global supply exchange challenges. For example, we are beginning to see longer lead times for certain components for our camera systems. However, we have placed a strong focus on supply chain management and made some smart early risk investments to avoid impacts to our revenue this year. 06:59 Switching now to our commercial services business, we delivered strong third quarter revenue of seventy seven million dollars, which was a seventy five percent year over year increase. Adjusted EBITDA was fifty one million dollars, which is sixty five percent year over year. 07:11 The continued recovery travel, which leads to increased total road usage was a primary driver for the business this quarter. We are continuing to monitor the reflating occurring within our rack customers and as fleet levels are still down from where they were in twenty nineteen. 07:26 However, we are seeing consumers offer a longer rental agreements resulting in more billable days. This helped offset the decline in total number of vehicles. Overall, we continue to see some good tailwinds in the market. 07:37 For our European business, we are excited to announce that in Q3, we signed an agreement with Enterprise to launch a pilot tolling program in Ireland. We are currently enrolling more than two thousand two hundred vehicles at multiple pilot locations across the country. This is an exciting opportunity to position ourselves through for a significant sized fleet in the country. 07:55 We will monitor and adjust the program based on the data and we will collect in coming months. As we have discussed in the past, our goal this year and next is to establish as many pilot toll programs as we can in strategic countries across Europe such as: Ireland, Spain, and Portugal. This helps improve the value proposition for our customers. We are enthusiastic about the Ireland pilot as it is a significant step on this journey, and we hope to announce additional pilot programs soon. 08:21 Finally, I would like to provide some additional commentary about the big announcement we issued this week regarding the acquisition of T2 Systems. We are thrilled about this fantastic new addition to the Verra Mobility portfolio of smart mobility solution that make transportation safer and easier. 08:38 We have been consistent about our desire to enter the parking management business, which is natural adjacency to many of our existing solutions. T2 Systems is a leader in parking and curbside management for universities and municipalities in North America and features best in class SaaS Solution. 08:54 By some estimate, the U.S. parking sectors of thirteen billion dollars total addressable market as expected to grow as cities and municipalities face greater curbside management challenges due to factors like increased e-commerce deliveries and ride-sharing. T2 Systems hardware and software solutions are perfectly suited to address today's market needs as well as evolving challenges. 09:13 Parking is a new space for us. So, we envision if T2 Systems will operate as a third leg of the stool for our company, we will manage it as a portfolio company and will operate as a distinct business unit rather than being fully integrated as we did with Redflex and  . 09:28 However, it will remain strong connections to both of our business needs to help shape sales opportunities and product development. This acquisition is yet another example of how we are putting our significant cash flow back to work for our investors, all while growing revenue and diversifying our customer base. 09:44 We don't anticipate any issues associated with closing the deal. We are targeting and closing before at the end of the year. We are excited to welcome T2 Systems talented team to the Verra Mobility Family. 09:55 Overall, twenty twenty one has been a strong year so far for Verra Mobility, and our results this quarter demonstrate the success of our strategic initiatives and consistent execution, we remain committed to updating to our updated guidance. 10:09 And before I turn over Tricia to walk us through the financial results in more detail, I wanted to share that Tricia has announced her intention to retire and as a result will be leaving Verra Mobility sometime in Q2 of next year. We will immediately begin efforts to identify her successor in her that Tricia will continue to serve as CFO during the search process and to assist during the subsequent transition. 10:31 Tricia has served as Verra Mobility CFO since twenty fifteen and has played an essential role in the enterprise wide transformation that has enabled us to deliver outstanding financial performance to our shareholders. I have deeply valued her strong financial acumen and her strategic insights, as well as her friendship. We are thankful for her enormous contributions to our company and are excited for her to take this wonderful and well deserved next step in her life. 10:54 With that, I'll turn over to Tricia.
Tricia Chiodo: 10:57 Thank you, David, and good afternoon, everyone. I'll provide a detailed overview of our second quarter financial performance, and then we'll open up the call for questions. We've provided a short earnings deck on our website that provide some insights to the quarter and has reconciliations from GAAP to any non-GAAP results. 11:14 If you're following along in the earnings deck, I'm on slide two, which outlines revenue and adjusted EBITDA performance for our commercial services segment. This business segment offers tolling, violation processing, and title and registration services for rental car companies and fleet management companies in the United States and a subset of those products in Europe. 11:33 Our commercial services segment delivered revenue of seventy seven point three million dollars, an increase of thirty three point one million dollars over the same quarter in the prior year, but more importantly, it's in line with the service revenue generated in Q3 of twenty nineteen. The recovery and leisure travel that we saw in Q2 continued into Q3 driving this strong performance. 11:55 The rental patterns that we have recently seen remained prevalent this quarter with leisure travelers driving demand, creating more billable days for rental agreement, more toll usage and higher toll fees than in previous years. These trends have improved revenue without the full recovery of rental volumes. 12:13 We continue to believe that business travel will return in twenty twenty two, albeit at a lower level and anticipate rental volumes to reach turn to their more traditional seasonal patterns in Q4, which should pull back from the Q3 level. Adjusted EBITDA for the quarter of fifty one point three million dollars increased from thirty one million dollars for the same quarter of the prior year and generated adjusted EBITDA margins of sixty six percent. 12:39 The strong flow through is a function of strategic actions taken last year and into this year and as we're ramping up some cost to capture revenue cycles as it returns, we expect that margins would be a little lower in the fourth quarter as revenues return to more seasonal patterns. 12:55 Turning to the next slide, you see the results of the Government Solutions business. This segment operates photo enforcement programs for counties, municipalities, and school districts. Our government solutions business delivered revenue of eighty four point eight million dollars in the second quarter, improving thirty two million dollars year over year. 13:12 As a reminder, the total revenue for this segment is comprised of service revenue. Now, that's the monthly fee that we generate from the operations of photo enforcement programs and product revenue from selling and installing camera systems and software. I think it's important that we talk about these two sources of revenue separately. 13:29 The service revenue for the third quarter was sixty four point six million dollars, which grew twenty five point seven million dollars or sixty six percent year over year. There's several components of this growth, fifteen point nine million dollars came from the acquisition of Redflex, and nine point eight million dollars came from organic growth in our core business. 13:49 I want to pause for a minute and just let that sink in. Our organic growth in this segment is twenty five percent over Q3 of twenty twenty, and forty seven percent over the same period in twenty nineteen. The largest driver for this growth is the expansion of school zone speed programs, primarily in New York City, where we installed seven twenty cameras throughout the twenty twenty year and we're now seeing the impact of service revenue as we operate and maintain those systems. 14:19 We're also in the process of installing additional seven twenty cameras in the back half of this year, which will contribute to our growth in twenty twenty one and well into twenty twenty two. 14:33 Product revenue of twenty point three million dollars grew six point four million dollars or forty six percent from the thirteen point nine million dollars for the same period in the prior year. We installed two thirty six schools on speed cameras under the New York City emergency contract this quarter, bringing the total installations to three ninety four. 14:52 The result saw three point six million dollars of product revenue that came from the Redflex Acquisition. As David mentioned, supply chain issues have made headlines impacting many industries. We are proud of our ability to navigate this difficult situation adapting to the ever changing landscape. We are working very closely with our suppliers and monitoring upstream product build. 15:14 Our operational teams have gotten creative and working around challenges. And while we are targeting to install the balance of the cameras in the current calendar year, we are modeling approximately twenty five cameras to be in the first quarter of twenty twenty two. 15:29 Adjusted EBITDA of thirty point seven million dollars increased eight point two million dollars from the prior year quarter. Adjusted EBITDA margins for this business were thirty six point two percent. The margin compression in the quarter is related to the inclusion of Redflex in the quarterly results. 15:46 We've previously stated that Redflex had much lower adjusted EBITDA margins than the government solution business. We are making good headway on synergies and have taken actions that will run rate synergies of about five million dollars. Over time, we will see that the margin profile with the combined North American business is returning to a more historical level. 16:05 Turning to the next slide, we show consolidated results for the quarter. These are just the combined results of the two business segments that we just discussed, where there's total revenue of one hundred and sixty two point one million dollars for the third quarter, an increase of sixty five point two million dollars from the same period in the prior year. This is the largest quarterly revenue generated by the company and it demonstrates the strength and resiliency in its business model and the hard work of our team. 16:34 Now, we know that product revenue is episodic, which is just my fancy word for saying that it's lumpy, but the service revenue is the recurring year after year, following our long term contracts and our deep customer relationships. Service revenue for the quarter was one hundred and forty one point eight million dollars. 16:51 If we strip out the growth from the acquisition, it is one hundred and twenty five point nine million dollars. Now, let me just put that in perspective. Organic service revenue grew fifty one percent over twenty twenty and fourteen percent over twenty nineteen. Verra Mobility isn't just recovering, we are thriving and that's also reflected in our profitability. 17:14 Our adjusted EBITDA of eighty two point one million dollars increased by twenty eight point five million dollars for the same quarter in the prior year and adjusted EBITDA margins were fifty percent in the quarter. 17:26 The company reported net income of approximately twenty seven point three million dollars in the quarter compared to net income of eleven point one million dollars in the same period in the prior year. Adjusted EPS, which excludes amortization for stock based compensation and non-cash items was zero point two seven dollars per share for the current quarter, compared to zero point one seven dollars per share for the third quarter of twenty twenty. 17:48 The tax provision for the quarter was eleven point five million dollars representing an effective tax rate of twenty nine point six percent. Our effective tax rate is impacted by permanent differences related to market to market adjustments for both our private placement warrants, as well as our tax receivable agreement. 18:06 The company generated one hundred and twenty nine point three million dollars of cash flow from operating activities during the year to date period in large part due to changes in networking capital. We've talked a lot about our outstanding receivable with New York City and we're very pleased with the progress that we're making. 18:21 At the end of September, the city of New York dot owed us just over eighty million dollars. We billed New York City forty one million dollars in the quarter for products and services and collected eighty seven million dollars on aged receivables. Based on the current pace of payments, we anticipate the encouraging relation to the contract terms by the end of the calendar year. 18:43 Our very strong anticipated cash position led us to vision of our Board to buy back shares at a rate of one hundred million dollars and we executed that in the third quarter. Even with the one hundred million dollars repurchase, our leverage decreased from four point one times at the end of Q2 to three point seven times as of September thirty. 19:05 We're excited about the acquisition of T2 and anticipate using the accordion feature on our Term Loan B along with cash on hand close the transaction in late Q4. Assuming that we used the full two fifty million dollars of the accordion, our leverage on a pro forma basis after giving consideration to the acquisition would be four point seven times. 19:24 We’ve said in the past that given our cash flow generation of the company that we’d be willing to increase leverage for the right acquisition, and we believe that this is the right acquisition at the right time. And we're confident that the cash flow generation over the next few quarters will delever the company very quickly. 19:41 Given the strength of the Q3 results, we're raising our full year guidance. We are expecting total revenue in the range of five twenty five million dollars to five forty million dollars, which includes contributions for Redflex and represents growth of seventeen percent to twenty percent over the pre pandemic year in twenty nineteen. 20:00 Included in this growth, we expect product sales to be unchanged in the range of fifty five million dollars to sixty million dollars. We expect adjusted EBITDA to be in the range of two fifty million dollars to two sixty million dollars or an adjusted EBITDA margin of forty eight percent, based on the midpoint of our guidance. 20:16 We are outperforming our expectations and have returned to twenty nineteen revenue and EBITDA level. We continue to grow and invest a significant cash flow back into the business to generate positive shareholder returns and we'll continue to do so. And with that, I'll open the line for questioning.
Operator: 20:35 Thank you.  And we'll take our first caller Daniel Moore with CJS Securities.
Daniel Moore: 21:11 Good afternoon, David and Trish. Thanks for taking the questions. So many directions to go in, so sorry to hear it, Trish. Thank you all of your help, but congratulations. Maybe quickly, talk about the acquisition process for T2. I assume there’s an auction and more to the point, what type of revenue and our cost synergies should we be thinking about?
David Roberts : 21:38 Yeah. Dan, it’s David. So, with us here today, we have Mike McMillin as well. Mike is our SVP of Corporate Development and he led the transaction, come start the business.  answer that question for you. Okay.
Daniel Moore: 21:52 Perfect. Thank you.
Mike McMillin: 21:54 This is Mike. So, it was a competitive process. It wasn't necessarily an option, but it was a competitive process. And we were very happy to complete the acquisition or announce the signing of the acquisition. As we think about the business in general, in our press we had eighty million dollars of expected revenue in twenty twenty one with EBITDA of around twenty one million dollars. 22:20 As we look at that, historically, we've seen revenue in this business on the services side, which represents about seventy percent to eighty percent of their total revenue growing the five percent to ten percent range. And we would expect that the revenue in the future to grow at near the top half of that range for four services. 22:42 And they also had hardware sales, which represents around twenty percent to thirty percent of their revenue and similar to us their hardware sales are lumpy from year to year, but on average, we'd expect more modest growth there, maybe in the two percent range. So, overall, we would expect total revenue combining services and hardware to grow in the high single digits over the next few years.
Tricia Chiodo: 23:05 And on the synergy side?
Mike McMillin : 23:07 On the synergy side, so what we are focusing on in this acquisition is growing and emphasizing the core business and leveraging our existing government relationships to really help accelerate their revenue with cities and municipalities. So, our plan really is to focus on the growth and revenue synergies in order to grow the long term strategic position of T2 and our own position in the parking ecosystem, including the long term opportunity associated with curbside management. So, the focus for us for this acquisition is really on the revenue in growth side in order to strengthen their position and our collective position in the parking market.
Daniel Moore: 23:52 Super helpful, Mike. And forgive me because I'm not as familiar with their business model, but that seventy percent to eighty percent that services, how do we think about that? Is that SaaS type, is it recurring revenue? Maybe just help understand the revenue model there? Thank you.
David Roberts: 24:08 It's both of those things Dan. They have a portion that, which is their SaaS revenue licensing and they have maintenance agreements associated with the equipment as well.
Daniel Moore: 24:18 Got it. Very good. Okay. I will jump back in queue with any follow-ups. Thank you very much.
Tricia Chiodo: 24:25 Thank you.
Operator: 24:27 Thank you. Next we’ll take Keith Housum with Northcoast Research.
Keith Housum: 24:34 Good morning guys. And congratulations on the quarter and Tricia I echo that statement, sorry to see you go, but congratulations on that decision. Building on a T2 acquisition, as I may just kind of add, obviously, any kind of acquisition you can do is going to be dilutive to your margins, but what kind of scale or incremental margins can this company deliver as it grows?
Tricia Chiodo: 24:58 You mean just for T2 by itself?
Keith Housum: 25:01 Correct.
Mike McMillin: 25:04 Yeah, maybe if we speak to the EBITDA margin on this, what we actually expect as the services and specifically the software to services grows greater than the hardware sales over time, we would expect a natural, sort of natural uplift in margin over time as the higher margin software of the services business takes over more of the revenue mix. 25:27 So, we would actually expect EBITDA from a margin perspective to outpace revenue growth. So, we have revenue growing in the high single digits. We would actually expect EBITDA over the next years to grow in the low double digits, just due to the natural shift in mix over time.
Keith Housum: 25:44 Great. And then maybe you can educate us a little bit more on like parking the market in terms of largest competitors. I mean, you guys obviously have a dominant share of the business where you currently do business, does T2 have the same type of dominance or is it much more diverse or fragmented competitor base?
David Roberts: 26:02 Yes. It's a bit of a difference. So, they don't compete as much in our market. So, they are – traditionally they've been in universities, has been, most of their businesses has been working parking systems for large universities. They also work with some city and municipalities. 26:18 So, there is a host of characters there that they would compete with, but they don't compete with traditionally with for instance, the Conduent’s of the world. Conduent is more known for large city implementations for parking. And certainly, our hope is to work with them to bring them up at a higher level and using our relationships and expand our capabilities on our government side with over two twenty customers here in North America that that would be advantageous as they look to kind of drift upmarket a little bit and give them that entre.
Keith Housum : 26:48 If I could just one more in here, is there an opportunity to take these guys international as well leveraging your Redflex relationships?
David Roberts: 26:56 No. They would be disconnected from that point. I think perhaps the technology, but if you were going to do this internationally, you would probably need a different asset in a different – whatever country you're going to go to.
Keith Housum: 27:06 Got you. All right. Thanks, guys. Appreciate it.
David Roberts: 27:09 Yeah, thanks.
Operator: 27:12 Thank you. Next we'll move on to Dave Koning with Baird.
Dave Koning: 27:17 Yeah. Hey guys. Great job.
David Roberts: 27:21 Thank you.
Dave Koning: 27:22 Yeah. And maybe first of all, just looking at the progression, like when we look at your percent of nineteen, you've like far outpaced basically any data point we can find on travel Avis or any of those, you just consistently just kind of crush those. This quarter, your step up wasn't quite as big, and my guess is that's a function of last quarter being so big with registration work, but maybe you can just kind of walk through that? And then how we should see a progress as long as travel keeps going better, should that keep moving kind of above that one hundred percent in Q3?
Tricia Chiodo: 27:58 Yeah. So, I think on the commercial services side, I think what we really thought was that the summer driving season opened up a little bit earlier than it normally does. So, Q2 was a little stronger than it normally would be. Normally, your summer driving is, sort of booked mark by Memorial Day and Labor Day, which is when kids exit and restart school. So, I think we saw more in April. That's why we really had a really strong quarter in Q2. And as you mentioned, we did have an uptick and it was happening in title and registration. 28:28 In Q3, we are seeing that we are matched with rental car tolling from where we were in twenty nineteen. We are ahead of where we were with S&P tolling for the twenty nineteen period. And then, we had some pullbacks in title and registration, which you can just call a quarter over quarter shift. 28:47 I think what we're going to see as we move into Q4 is you are going to see the sort of downtick that's going to happen. That normally happens with seasonal patterns of driving, so we normally see Q4 to be lower for commercial services in Q3. We're that to happen this year as well. And for the total company, what's really driving our year over year growth from twenty nineteen is that the commercial – the government solutions speed program is really, really thriving. That program has really grown in the last two years.
Dave Koning: 29:22 Got you. Thank you. And maybe just my follow-up. Can you give us the Redflex numbers by service and product again? And then if that sort of mix or if those levels of both kind of sub segments of Redflex are pretty normal just as we go forward?
Tricia Chiodo : 29:41 Yes. So, the revenue for service revenue was fifteen point nine million dollars. Let me get you the other number. And then the product revenue was three point six million dollars for Redflex in the quarter.
Dave Koning: 30:00 And is that pretty normal? Like is that sixteen million dollars a quarter of service and three million dollars to four million dollars a quarter of product kind of what you'd expect over time?
Tricia Chiodo : 30:09 I think the product revenue is probably lower than we would expect over time. So, I think they're experiencing some start-up cost and other things that we're seeing here. So, I would expect those numbers to grow over time. And we did add some really nice little charts and our earnings that layout some of these items.
Dave Koning: 30:32 Thank you. Got you.
Operator: 30:37 Thank you.  And we will move on to our next question from James Faucette with Morgan Stanley.
David Roberts: 30:58 James, you there?
Operator: 31:03 Sir, your line is open and active. And we are not getting a response from him. We'll move on to Daniel Moore with CJS Securities.
Daniel Moore: 31:23 Very good. I'll go again. Just talk a little bit as T2 as a sort of a new platform I like to the tool. What do you see the opportunity, rollup is not the right word, but should we see this as a platform for further expansion via M and A over time?
David Roberts: 31:42 Yes, I think so. I mean it's –I think what you would look at the parking business as a whole is, there's not a lot of assets like T2 that are sort of  size and scale with the level of cash flow and profitability that they have. It’s a unique market. There's some real big players and then there's a lot of tiny small players. 31:59 So, certainly, there could be some other opportunity there. I think the real strategic imperative here is, I think everyone in the category of smart transportation would say that curbside management is going to be a big challenge for municipalities going forward, and we want to be a part of that future and we think it's going to be important to our customers as well as other customers. 32:21 So, T2 serves as a great platform for us to do that, while at the same time diversifying some of our revenue into an adjacent market.
Daniel Moore: 32:32 Got it. And switching gears David, you touched on this, but any commentary around your rack customers willingness and more to the point ability to re-fleet or expand their fleets as we think about twenty twenty two in light of pretty well documented supply chain challenges etcetera?
David Roberts: 32:50 Yeah. I mean, I think overall, I would definitely listen to the public CEO comments around that versus relying on my commentary. But I think what they would tell you is that they are working hard to get their fleets back to where they were. I mean, Hertz even announced they are going to buy hundred thousand Tesla’s. And Elon Musk seem to disagree with them, so we'll find out if that's actually true or not.
Daniel Moore: 33:09 Exactly.
David Roberts: 33:09 But that being said, I would anticipate that they will continue to be below twenty nineteen levels probably for a significant portion of next year. I think most have indicated that the end of next year or Q4 next year would when they would think the issues around the chips and the new vehicles coming out of volumes might be solved. But unfortunately, we're seeing a higher level of activity and that seems to be a durable trend.
Daniel Moore: 33:35 Very good. And then I was typing as quick as I could, just if you could give us again the remaining receivable that you expect to bring in from New York City in Q4? Thanks.
Tricia Chiodo: 33:46 Yes. So, we have, well, right now, we have about an eighty seven million dollars receivable, I’m sorry, just over eighty million dollars is the total receivables that we have out there. We would expect to be collecting on that, but also continuing to build them for the – about the same rate of call it, forty one million dollars in the Q4 as well. So, we'll still have a healthy receivable there, but if we continue to pay on time, which they have done exactly what they said they would do, we would bring in that eighty million dollars in Q4.
Daniel Moore: 34:17 Very good. Thanks again for the color.
Operator: 34:22 Thank you.  And thank you. There are no further questions. So, this will conclude today's teleconference. We do appreciate your participation. At this time. You may now disconnect.
David Roberts: 34:44 Thank you.
Tricia Chiodo: 34:45 Thank you.